Operator: [Foreign Language] Good morning, ladies and gentlemen, and welcome to our presentation of Enagás S.A. for the first quarter of 2021. The results were released this morning before the opening bell, and as usual, they're available on our website at www.enagás.es.
 Mr. Antonio Llarden, Chairman of Enagás, will host the presentation. We expect this presentation to last about half an hour. Afterwards, there will be a Q&A session, in which we will endeavor to answer any questions as soon as possible. Thank you very much.
 And without any further ado, I will now hand the floor to Mr. Antonio Llarden. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you for joining us today. I am joined at this online conference call by the Chief Executive Officer, Marcelino Oreja; the General Secretary, Rafael Piqueras; the Chief Financial Officer, Borja García-Alarcón; and by the Investor Relations team, Antonio Velázquez-Gaztelu and Cesar Garcia Del Río; as well as the General Director for Communication and Institutional Relations, Felisa Martin; and Management Control and Business Analysis, Natalia Mora, is with me.
 So I would like to start by emphasizing once again our full commitment to the decarbonization process. And I would like to confirm that during this quarter, we continue to implement the measures that we disclosed to you in the 2020 results presentation, that is 2 months ago.
 Decarbonization cannot be postponed, and our company's vision is that we have to decarbonize now by researching and innovating in future technologies and by doing everything within our reach with those technologies we have available today. Reducing emissions is not about flow but [indiscernible]. Every reduction adds up, and Enagás, between 2018 and 2020 alone, we already reduced our CO2 emissions by 30%, and we continue to make steady progress to becoming carbon-neutral by 2040. In total, since 2014, we have cut our emissions by 63%.
 With regards to our commitment to ESG, the environmental, social and governance criteria, Standard & Poor's Global Ratings acknowledged the [ side ] of Enagás on environmental, social and governance criteria. Enagás has been awarded the highest rating that this agency has published in Spain across sector so far and also the highest in Europe in the utilities sector over the past year. You can see the recognitions awarded to the company for the detail in the presentation.
 With regards to Q1 results, they were very positive and are fully in line with our goal's budget. We reported a profit after tax of EUR 92.9 million. And as you know, on January 2021, the regulatory framework for the 2021-2026 period became effective, and its impact is already reflective for the first time in these results. Nevertheless, having a stable regulatory framework gives visibility to the company's regulated revenue for the 2021-2026 period as a whole.
 Let me also remind you that in the 2020 results, we reported a positive nonrecurring financial result of EUR 18.4 million, which, of course, has now been the case again in this period. In this first quarter, our cash generation is fully aligned with our year-end goal. And so is our debt, which we have been able to [ curve ] slightly. We also improved our debt financial cost, which went down to 1.8%. We have an excellent liquidity position that stood at EUR 2.802 billion at March 31. And the contribution of our affiliates to net profit after tax continues to increase and has already risen to 38.1%. To conclude the company's performance during this quarter, it was very positive and very much in line to meet all of our annual targets.
 Okay, concerning our infrastructures. Regarding natural gas demand, it is already slightly above pre-COVID crisis levels. And so far this year, that is to say at April 18, last Sunday, total demand is already 0.8% higher compared to the same period in 2020. It should be borne in mind that this entire period of 2021 has been affected by COVID-19, while last year, the state of alarm did not begin until March 13. Conventional demand, which includes both households and industries, accounts for about 86% of total demand of natural gas in Spain and has climbed by 4.7% so far this year.
 Specifically, residential demand has increased by 9.3% due to the impact of Storm Filomena in the first half of January when household consumption skyrocketed by 30%. In terms of industrial demand, which is a lot more representative of the current economic situation in Spain, the accumulated figure for fiscal year 2020 went up by 2.6% year-on-year, taking into account that last year, January, February and part of March were not affected by the pandemic. This proves the key role that gas and gas infrastructures have played in ensuring supply in the phase of COVID-19 and the biggest cold front experienced by Spain in recent years. And it further proves the key roles that they have and will continue to have to achieve the decarbonization objectives ahead.
 Now I would like to touch upon the most noteworthy achievements of our international affiliates. With regards to Trans Adriatic Pipeline here, these are 2 relevant milestones. First, the financial completion date has already been reached. This means that the banks financing the project have released the guarantees provided by the shareholders during the project's construction phase. And the second milestone is that this development has started to contribute to Enagás results significantly. As you know, this gas pipeline began supplying Azerbaijan gas to Europe in December 2020. And on March 19, it reached the first 1 billion cubic meters, 1 bcm delivered. The use of this infrastructure, which is critical to European energy security, is evolving as planned and became fully operational in Q1.
 Currently, TAP continues to get ready for the launch of the binding phase of its market test by early July 2021, which could result in the infrastructure's increased transport capacity.
 In the United States, where Enagás is present through Tallgrass Energy, the energy market in this country as a whole, continues to pick up favorably. In the first quarter, the Energy Information Administration reviewed its forecasts upwards for oil and gas production in 2021 and 2022.
 The extreme cold wave that hit the U.S. in February and that triggered an energy crisis in some regions and states [ placed ] value on how strategic Tallgrass infrastructures are to supply some relevant markets in the country. Even in such adverse circumstances, all such facilities remained fully operational. The Tallgrass business performed very well over the first quarter. Still in April, the company is optimistic about reaching the upper end of the financial target range set for the whole of 2021, which we already announced in our February strategic presentation.
 Excellent news is that strategic alliance has been closed with Bridger Pipeline LLC. This is an affiliate of a True companies Group. These transactions strengthened Tallgrass to achieve its global goals for the 2021-2026 period. The company has the second largest pipeline operator in the [indiscernible] basin. The Pony Express business is strengthened, increasing its long-term contracted capacity. And Tallgrass diversified its access to other production basins. You have more detailed information about this new joint venture and the performance and outlook of Tallgrass in the presentation.
 In other countries where Enagás operates, our affiliates are playing an important pole in securing energy supply. And I would like to highlight a significant milestone in Chile in the Quintero LNG terminal, the final investment decision approval for the construction of the 5th cistern loading bay, which represents an investment of USD 6.5 million. This figure is perhaps not very significant, but from a qualitative perspective, it proves that this asset is working practically at 100%, and that's why we had to start building this cistern loading bay. These cisterns are the ones that carry LNG through motorways up to certain consumption points for manufacturing purposes. Information about the rest of our affiliates is also included in the presentation, and the results reported by all of them are positive or in line with expectations.
 Just like every quarter, I would like to provide you with an update on the Gasoducto Sur Peruano situation. The arbitration proceeding is taking place according to the established procedural schedule. And at Enagás, we uphold our willingness to reach an amicable agreement with the Peruvian State.
 As part of our commitment to the decarbonization process, we continue to work on developing renewable gases. We have already submitted more than 50 hydrogen and biomethane-related projects to the various calls or [ tender ] launched by the Spanish government. Specifically, right now, we have 34 hydrogen projects and 21 biomethane projects across Spain's autonomous regions, together with more 50 partners. All the projects that we promote and that we are trying to develop meet their criteria that you already know, that is -- there are 6 criteria, namely: contributing to decarbonization by optimizing costs to fair and inclusive transmission -- transition; driving the entire value chain; promoting the development of the Spanish industry; creating sustainable employment always with other partners; and offering a suitable return on investment.
 And some concrete and relevant examples only in the first quarter include the following. We have commissioned the first hydrogen refueling station in Spain for long-range fuel cell electric vehicles, together with Toyota and other partners. We have also reached an agreement with Naturgy to produce green hydrogen from wind energy in Asturias. We have also joined a European industrial alliance to produce green hydrogen in Spain. Together with Ilunion, we have created Llewo, a socially and environmentally sustainable logistics operator, as an evolution of the start-up gas to move, arising from the Enagás corporate entrepreneurship program.
 We announced the first biomethane connection to a private gas network in Spain in a small location called La Galera in Tarragona. We are also making progress in the works on the first LNG supply ship to be built in Spain. We have signed an agreement with the transmission system operator in Southern France, Teréga, and with GazelEnergie and DH2 Energy to explore the development of our renewable hydrogen value chain between Spain and France. And last week, we announced that we became a shareholder of SATLANTIS, a leading space company that measures methane emissions with very high precision. So these are some examples of how the company is advancing in developing specific projects and partnerships in the field of renewable gases and decarbonization.
 Before wrapping up, I would like to remind you of our goals for the current fiscal period 2021. We estimate a net profit by year-end of around EUR 380 million. Our solid cash generation will reduce net debt and will keep a solid and optimal balance sheet structure. Thirdly, we continue to intensify our overhead's control and savings plan, doing away with all that is not essential to our business continuity and current and future activity. We also maintain our commitment to employment. And likewise, we maintain our commitment to our shareholders and their remuneration. Our cash flow generation enables us to guarantee our dividend policy, specifically for 2021. As you know, it will be set at EUR 1.70 per share, which accounts for a 1% increase compared to 2020.
 So in conclusions, I will finish off with a few brief conclusions. We have a commitment to the ecological transition and to becoming a carbon-neutral company by 2040. We now have a regulatory framework in place until 2026 that provides high visibility of a significant portion of our regulated revenue over the next 6 years. We envisage good prospects in all our affiliates and specifically in Tallgrass, whose partnership with True companies is a highly positive milestone for both Tallgrass and Enagás. We already have a pipeline of 55 renewable gas projects with over 50 partners that are mobilized at total joint investments, if all projects are completed, of around EUR 6.3 billion on all accounts. And finally, the high visibility of cash flows expected for the 2021-2026 period secures the company's commitment to our dividend payout policy. 
 Thank you for your attention. And now if you have any questions, please feel free to ask, and as usual, we will do our best to answer them as fully as possible together with the rest of the team members. Thank you. 
Operator: [Operator Instructions] The first question is from Javier Suarez from Mediobanca. 
Javier Suarez Hernandez: I have 3 questions. One, with regards to hydrogen projects on which you are working, you have mentioned that you are working on 55 projects, and you could mobilize 1 point -- up to EUR 6 billion. The question on this, what is the corresponding investment by Enagás out of this EUR 6 billion in this joint investment on which you are working?
 And a question in line with this in the strategic presentation at the end of February, we already spoke about this that there's -- the topic regarding hydrogen is accelerating, and the opportunity is accelerating. So I would like to know a little bit more about your vision in terms of when the company will see an impact in its CapEx, whether 2023 or '24? When do you think that the company will perceive that impact and that [ rev ] -- considering that the [ rev ] is decreasing to a company where the [ rev ] is going up?
 With regards to Peru, we've seen some escalating by the Peruvian government in the dialogue with Enagás. If you, please, could explain what's the status on this? And how you think this can be resolved. And when it can be resolved?
 And the third question regards the affiliates, the international affiliates. There's been a significant growth. And I would like to know the detail of the EUR 49 million contribution, if we can have the breakdown of the most important affiliates. 
Unknown Executive: Thank you. Thank you, Javier. We will discuss briefly and will reply immediately. 
Antonio Llardén Carratalá: Thank you very much, Javier Suarez. I'm going to reply quickly to your 3 questions. One, with regards to the 50 projects or over 50 projects, if all projects were completed, the equity -- we know that wherewith other partners, it could be around between EUR 400 million, EUR 500 million or EUR 600 million. But we don't know which projects will be carried out.
 With regards to the schedule, the best estimates that we have right now is that we will need to look at the pace of -- at which the projects are approved by the European Union, by Spain and by other countries. But our estimation is that for 2023, we could start to have the impact of this investment as a new investment by Enagás in a different field to which we are accustomed.
 With regard to the second question, events, recent events do not affect the proceedings in the arbitration before the World Bank. And the question to provide the breakdown in terms of the contribution of the affiliates, I'm going to give the floor to the Chief Financial Officer, to Borja. 
Francisco Altamirano: Hello, Chairman. Hello, Javier. With regards to the contribution, [ TCP ], it's TAP at 9.3%; Quintero, 7.7%; [ BBC gas ], 6.1%; and Tallgrass, 4.4%; and the top 1 was 30%. 
Operator: Next question is from Alberto Gandolfi from Goldman Sachs. 
Alberto Gandolfi: The first 2 are related to Tallgrass. Could you give us an update of the renegotiations of contracts with Tallgrass? What are the -- what -- is the term going to be short term? Are you renewing long term? What are the margins that you are seeing in the first quarter, which is very different to the one in -- or the beginning of the COVID?
 Could you give us more detail on Pony? It's not clear to me whether that's a recap measure, a recapitalizion measure. Out of the 25% of Bridger, how much is transferred? Or how much is used with assets? How much is done with the cash flow? So there's somehow -- somewhat a dilution in this deal, and I want to know what's the percentage.
 And with regards to the hydrogen, and I don't know whether there's some sort of an update with regards to the regulatory framework to regularize the 200 yearly -- EUR 200 million. And how much of those are local? 
Unknown Executive: Thank you very much, Alberto. We will discuss briefly, and we'll reply immediately. 
Antonio Llardén Carratalá: Thank you very much, Alberto Gandolfi. To the first questions, I will ask the CEO, Marcelino Oreja, to reply, and I go with the third one. Marcelino, you have the floor. 
Marcelino Oreja Arburúa: Thank you, Chairman. With regards to Tallgrass and the regulation -- with regards to REX, we didn't go forward with the hiring between West and East, which we will work on the -- we will work these months. We are working on the hiring between the West and the East.
 With regards to the operation that we are announcing, we haven't closed it yet, so we cannot provide more details up until the following weeks when we expect to close the operation. It's providing -- we provide 70 -- we provide -- they provide capital and infrastructure and assets so that we, together, we can do all the flows. And in the long-term contracts, and we have contracts of up to 7 and 12 years. And we will also reinforce the contracts that will regulate both that will provide more value to our infrastructure, and it's a good operation. And as soon as we have further detail, we can provide more details through the Investor Relations team or through myself, if you want to have further details. But I see that it provides robustness in terms of crude and turning Pony Express in one of the critical infrastructures to transport crude from North to South and all other products in the United States. 
Antonio Llardén Carratalá: Thank you very much, Marcelino. I'll move on to the third question. We have 2 types of revenue related to renewable gases and more specifically, hydrogen. The regulated, which would be the investments measured to make the high-pressure network in Spain and in other countries, is able to allow hydrogen transport, i.e., through blending or in a specific manner. We don't have expected schedule right now. We don't know specifically when the regulator will give us the green light for the investments. These investments could account for EUR 400 million, EUR 500 million or EUR 600 million, but are not related to the ones I mentioned before for a period that I don't dare to say right now. It could be 4, 5 years. These investments will be made as from 2023, 2024 or 2025. This will depend on the decisions made by the European Union generically. So this would be a regulated investment that could be around EUR 100 million a year for around 5 to 6 years. As for the schedule, we could start 2024 or 2025.
 And the second bundle are direct investments in projects. So Alberto, these would be deregulated. And considering our knowledge, all the gas transmission will be deregulated. And this, I've given the figure before, and this could be developed, as I say, as from 2023 or 2024. But we still are awaiting the types of objectives of the hydrogen projects all across Europe. But the European Commission and/or the national regulators need to say how we ought to act with these sort of -- these 2 investments that we're working with.
 So we are working in a parallel fashion. And as you said, and Javier Suarez said this as well, the hydrogen and renewable gases is speeding up. Some years ago, no one spoke about this. And right now, it's all very certain, and we have had different types of ways. I think this is going to speed up the decision-making processes that the European Union is going through, especially related to taxonomies and more specifically with regards to the regulated roles of the TSOs every quarter. And in between quarters, we will be ready to provide more information to the extent of our knowledge, of course. Thank you very much. 
Operator: The next question is from Javier Garrido from JPMorgan. 
Javier Garrido: With regards to the agreement with Bridger, you cannot give further details, but there's one question with regards to what appears in the presentation. You said that 95% of cases in their preferential installations. It means that it will -- this will happen over -- for a duration -- specific duration of time. And what does that 95% mean in your presentation with regards to this?
 And there's been an update published on the European TSO plans with regards to the needed investments up to 2040 to adapt the network to the hydrogen-based economy. If that's the case, could you tell us, is there any news and any changes? Because I see that there might be some different criteria with regards to building new pipelines or to have to adapt the new -- the existing ones. If you can provide further detail on this. 
Unknown Executive: So we will discuss briefly, and we'll be replying immediately. Thank you. 
Antonio Llardén Carratalá: Thank you very much, Javier Garrido. We will reply to your questions. Marcelino, CEO, if you can please give more details? 
Marcelino Oreja Arburúa: As we said, we have announced the closing of the operation, but it's not fully closed. We said that 95% is defined and 5% is not defined because we're still waiting the final agreement.
 And with regards to the EBITDA and the profit, the situation is improving in terms of Pony Express, and we need to consider the future flows of that asset. We increased the capacity of Pony Express and -- including fixed assets, and we provide access to Pony of new -- we can get to access to new accounts. We link up with the second biggest producer, which is [ Cruise ]. And this can lead to increasing the value of this infrastructure, which is a critical infrastructure in the North and South of crude in the United States. 
Antonio Llardén Carratalá: Thank you very much, Marcelino. I'm going to answer the second question. And you're right, Javier, there's been an update of the hydrogen European backbone, which brings together different TSOs. The first update is the difference between the first document and the second document. There is -- there's been a doubling of the number of companies that are related to this or partners. So this is -- there are many players that were not there before. So there's being more people joining. That's one of the changes. Another thing is that for 2040, there would be a European consolidated network for hydrogen transport in different ways, and that's for the North and South, South-North backbone, and it's based on 2 principles.
 So this is a requirement by the European Commission, and the European Commission has expressed this in different documents, i.e., that the hydrogen transport, it mustn't be an unnecessary extra investment. So we need to make the most of what we already have. So it would be far more economic to use the existing high-pressure network, if -- whenever possible. That's the first criterion. The second criterion, the [ map ] suggested by the European backbone publication is that for 2040, the entire hydrogen volume, I can't remember the figure, that 3 quarters of this hydrogen could flow through existing pipelines and the fourth could flow through networks that have to be built purposely. And that would be like the nitty-gritty of the latest update.
 And we are partners of this association. This association is doing an excellent job with regards to seeing the outlook of how hydrogen will develop in Europe, how green hydrogen is going to work here. 
Operator: The next question is from Lillian Starke from Morgan Stanley. 
Lillian Starke: I have 2 questions. One, with regard to Tallgrass, just to understand if that joint venture will affect the dividend policies of Pony Express. And could we keep that dividend flow towards the joint venture where Enagás is present after the joint venture with Bridger?
 And coming back to the European hydrogen backbone, so that I understand the plan. How do you consider the evolution of the demand? Whether -- do you consider a scenario that we should have so many points of demand? How can you manage that capacity? So what's the scenario -- the demand scenario that you consider so that we can reach the guideline of 2040? 
Unknown Executive: Thank you very much, Lillian. Thank you very much for your questions. We will close the lines to discuss this briefly, and we will reply immediately. 
Antonio Llardén Carratalá: With regard to the first question, please, Marcelino if you can give further detail on Tallgrass? 
Marcelino Oreja Arburúa: Thank you, Chairman. As I said before, the economic flows and the dividends from Tallgrass to Enagás from Pony -- and from Pony Express will not be affected. Actually, the opposite. A crude producer will ensure future flows, not the sale and economic flows. So in this space, assets that work in the center are working. So the -- for the infrastructures' operations, we are contributing with value. So we are ensuring a longer-term operation using this infrastructure. So this is -- operation is an operation that we will complete in the future weeks. 
Antonio Llardén Carratalá: Coming back to what the CEO has said, I remember that in the results presentation, we made a comment that we would anticipate that with the change of President in the U.S. would have an impact in the energy sector. And one thing that would happen is already happening. So the new infrastructure projects have been stalled, and they have -- and the developers have said that they won't develop these projects. This is something that we anticipated. And in line with what Marcelino has said, this provides greater strength to the existing infrastructures, and they have the opportunity to enlarge the transport levels and the number of customers. We think that this will happen in the years to come. And this agreement will be very much in line with this pragmatical line with all the operators of leaving to new projects that could make sense and to focus more on what we already have on the existing projects.
 And coming back to the second question, in the second agreement of the publication of the European highway backbone, what's stated is that studies show that there could be an acceleration of the hydrogen demand increase. And then maybe in near future, more complete figures will be given. The figures that's discussed, which are not -- I won't quote because they're not definite, are in line with the greater acceleration compared to 6 months ago. We will provide more information as soon as we have access to that information. Thank you very much. 
Operator: The next question is from Ignacio Doménech from JB Capital. 
Ignacio Doménech: The first question is with regards to Tallgrass. I know that you cannot provide more details and with the relationship with Bridger. What's the increase of crude capacity increase? And you mentioned that the good results in Tallgrass, they could get to the high end of object, and the EBITDA would be around EUR 735 million in 2021. If that's the case, what would the noncash and cash EBITDA?
 And the third question, if you can provide further comments on the impact to -- on Pony Express with regards to the exemption by the Biden authorities -- or administration to keep in operation the pipeline? And what percentage of the network of Enagás could be used? 
Unknown Executive: Thank you very much, Ignacio. We will discuss briefly, and we will reply immediately. 
Antonio Llardén Carratalá: Thank you very much, Ignacio. The first and third question with regard to Tallgrass, Marcelino Oreja will reply. The second question, we will give the floor to the CFO, and I will finish with the last question. So Marcelino, can you go with number one and number three? 
Marcelino Oreja Arburúa: Thank you very much, Chairman. With regard to volumes of Pony Express, the infrastructure has a volume of about 420,000 barrels a day. With this operation, we are ensuring a greater volume than what we had before and had contracted. So we have more guarantees that the forecast that we had in February will be complied with, and we will ensure this.
 How much will be hired in a fixed form between 7 or 12 years according to the agreement? And this will be -- thanks to the operation networks with short, mid and long-term contracts, the infrastructure won't increase the rated capacity. It will increase the contracting. It would be a critical infrastructure in crude transport in North to South in the United States.
 With regards to the third question, yes, the Pony Express question, yes. So we've done a temporary authorization of the use in infrastructure. And the base case is that the infrastructures will work as usual. And with the crude transport, there will be other infrastructures that won't be built. These have been stalled and stopped. And there will be other infrastructures that have been planned and will affect the position, the crude position with regards to crude transport to other parts of the country. 
Antonio Llardén Carratalá: Thank you very much. For the second question, please, Borja, you can provide the EBITDA data. 
Francisco Altamirano: In the February presentation, we provided a guidance of between $685 million and $735 million. The company expects that we will be in the high end, and the latest figure for the entire year is $278 million for EBITDA. 
Antonio Llardén Carratalá: Thank you very much. I will reply to the last question. With regards to the ranges of the high-pressure network can transport hydrogen in a summarized manner would be as follows. Up to 2% of the total volume, we mustn't invest specifically, and we could be doing it at the moment where we can have green hydrogen. So we are in contact with the regulator to look at the different topics, the regulatory topics to finish putting this possibility in writing. The second level is to reach 5%. And the third range, which is more linked to the European Commission's policy, is to reach 10%.
 Generically speaking, the European network, and more specifically, the Spanish network with certain investments, not too big, can transport in a blending fashion, green hydrogen, even in a greater extent than 10% would be a further stage. It's still pending a technical decision, and it would be a -- form part of other decisions that are related to the regulatory framework. So it could be around EUR 500 million or EUR 400 million or EUR 600 million over a period of time, which are technical to changing compressors in certain points. And these investments will allow to reach blending levels, which would be very high hydrogen blending levels. So for this to happen, there needs to be many green hydrogen manufacturing point or producing points. And this is where we're working on right now.
 All TSOs, what we are saying, is that networks can play a very important role. But it's very difficult for me to provide figures, specific hydrogen figures because right now no green hydrogen or in other country is produced in a very significant manner. It's more at a lab level. As these projects go forward and as this hydrogen is consumed and transported in a parallel fashion, all the TSOs, we will have to adapt up to, first, 2% and -- so up to 2%, there's no significant investment needed. From 2%, then we do need an investment and that we are pending other countries. This has sped up a lot. A year ago, we didn't speak about this, and now we are speaking a lot about this. We will provide further detail as we see that the European Union and different countries finish or give further information on these measures. Thank you. 
Operator: The next question is from Fernando Lafuente from Alantra. 
Fernando Lafuente: I have 2 quick questions on my side. The first question concerning the dividend payout policy from affiliates. Taking into account the improvements reported over the past months, which is your guidance with regards to dividend for this reporting period, do you think that this could have some kind of impact on your key financials?
 And as for M&As, when you presented the strategic plan, you said that this is something that you are considering. So I would like to know the alternatives to this or your vision in this regard. And even if we do not consider this to be a sale of assets, are you planning at any point in time to sell the Peruvian business, taking into account that there are still 3 years ahead before the arbitration ruling is awarded? Are you planning to do that? 
Unknown Executive: Thank you, Fernando, for your question. Again, we will discuss your question and will answer shortly. Thank you. 
Antonio Llardén Carratalá: Thank you, Fernando, for your question. Let me answer the question with regards to the sale of the asset package, and then I will hand over to the CFO. As we have already mentioned and humbly speaking, we are not a very large company. However, we do have experience investing, [ setting ], et cetera, and therefore, that's, of course, within the scope of our regular -- that is to say, to do some disposal of assets at some point in time. But we are not planning to do that for the time being. So this is something that we, of course, bear in mind, and we analyze this situation whenever an interesting possibility may arise.
 As for the guidance with regards to dividend and affiliates, I would like the CFO to confirm the data we already provided during the results presentation. So Borja, you have the floor. 
Francisco Altamirano: Thank you, Mr. Chairman. In fact, as we mentioned, our guidance for the overall period amounts to EUR 120 million. With regards to dividends coming from the affiliates, we feel pretty comfortable with that guidance, and we intend to keep the guidance that we reported approximately 1 month ago. 
Operator: The next question comes from José Ruiz from Barclays. 
José Ruiz Fernandez: I have one question only. Could you provide us with some guidance as to natural gas demand growth for 2021? 
Unknown Executive: Thank you for your question. We will answer shortly. Thank you. 
Antonio Llardén Carratalá: So twice a year, we had some guidance at the beginning of the year. And in June, we are going to have a second guidance for the rest of the period until the closing of this year. So at that time, we might provide you with more accurate data. However, today, we are already a little bit ahead of what we had estimated under the guidance. Thank you again for your question. 
Operator: There are no further questions on the Spanish room and in -- over the telephone conference call. So we are going to give the floor to Mr. Velázquez to close the conference. 
Antonio Velázquez-Gaztelu: Thank you very much. If there are no further questions, we've now come to the end of this conference call. And again, if you have any further questions, do not hesitate to contact the Investor Relations team for any further clarification. Thank you again, and have a nice day.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]